Operator: Welcome to MasTec's Second Quarter 2012 Earnings Conference Call, initially broadcast on August 3, 2012. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thank you, Elisha. Good morning, everyone. Welcome to MasTec's Second Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's call, we may discuss certain adjusted financial metrics or use non-GAAP financial measures in our analyses. A reconciliation of any adjusted financial metrics or non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measures can be found in our earnings release, SEC filings or on the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by a financial review from Bob. The discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. We have a lot of great things to talk about today. So I'd like to now turn the call over to Jose.
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2012 Second Quarter Call. Today, I will be reviewing our second quarter results, as well as providing my outlook for the markets we serve. Before we get started, I'd like to point out that during the second quarter, we finalized the sale of DirectStar, our DIRECTV retail sales business. DirectStar's results have now been classified as discontinued operations, and its revenues has been eliminated from our financial statements. Thus, my comments, as they relate to revenue, exclude revenues generated by DirectStar in both 2011 and 2012. Now some first quarter -- some second quarter highlights. Revenue for the quarter was $992 million, a 38% increase over the prior year's second quarter. EBITDA was $81 million, an increase of 14% over last year. Earnings per share was $0.37, an increase of 19% over last year's adjusted earnings per share, and organic revenue growth was 32%. In summary, we had another good quarter. Performance was very strong across all of our businesses, with the exception of the 2 challenging Marcellus projects, which we previously discussed. We are near completion on both of those projects and expect to be fully complete early in the third quarter. However, the effort to complete those projects has been more difficult and costly than we expected. During the second quarter, we recorded a provision for losses of over $25 million related to these 2 projects. The projects have been a drain on both profits and resources, and we look forward to getting them behind us. Aside from those 2 projects, performance and execution throughout our business, including the rest of our pipeline business, has been excellent and ahead of our expectations. I'll discuss that in more detail in a minute. Again, revenues for the quarter were up $275 million or 38% year-over-year, and up approximately $250 million or 33% sequentially from the first quarter. We are now expecting 2012 full year revenue growth of between 24% to 26%, and this comes off of 32% growth between 2010 and 2011. We continue to enjoy strong demand for our services, resulting in strong revenue growth. We also saw broad-based margin improvements, with the exception of the 2 Marcellus projects I spoke about. Margins and margin improvement is our key area of focus, and we expect improvements in the second half of this year. I believe MasTec's diversified business model is our key differentiator and one that has helped drive our success. Today, we serve numerous markets and industries that we feel have solid long-term fundamentals with significant opportunities for expansion and growth. We strongly believe that our exposure to petroleum and natural gas pipelines and facilities, high-voltage electrical transmission, wireless infrastructure construction and the construction of power generation sources should continue to be excellent sources of growth and opportunity for MasTec for years to come. Now, I would like to cover some industry specifics. Our communications revenue was $389 million, an increase of 8% over last year's second quarter. Our install-to-the-home revenue was up 20% for the second quarter of 2012 versus 2011. We are now entering our strongest quarter for this business, and order activity has been robust. DIRECTV has an aggressive offer for the NFL Sunday Ticket, and we expect that to help drive demand. Our wireline revenue was up 16% for the quarter. This now marks the sixth consecutive double-digit growth quarter for this market. The growth is being driven by the expansion of broadband and Internet in rural markets, along with slight improvement in the housing market. Our wireless revenue was down 3% in the second quarter of 2012 versus 2011, but up 23% sequentially. While we got off to a slower start with our largest customer this year, volume has been ramping nicely. We have excellent visibility into our full year plan, and we are seeing an increasing number of opportunities with a growing number of carriers. We are committed to growing our customer base, and we believe this market affords us very strong long-term growth prospects. Mobile data demand continues to drive the need for investment in networks and thus, the demand for our services. Our utility revenue was $596 million, up 72% for the second quarter of 2012 versus 2011. Revenues in electrical transmission and substation almost tripled year-ago levels, and we're slightly under $100 million for the quarter. The revenue growth was driven by the acquisition of EC Source and strong organic growth. Bidding activity for transmission projects is very active, and we believe we are in a good competitive position. Also, after quarter end, we were awarded a 120-mile transmission project in Texas that begins immediately this quarter. Moving to power generation, which includes renewables. Revenues for the quarter more than tripled those of last year. The growth is being driven by strong demand for our wind farm construction services, the acceleration of our solar projects and our entry into the gas generation space. We will have a record year in wind revenues, and we are actually encouraged by the activity we are seeing in wind for 2013. We are in very active discussions related to 2013 projects and in the timing of those projects, considering both the expiration and/or extension of the production tax credits. Our solar revenues are also experiencing significant growth. We expect this to be a very active market for the next couple of years, helping us offset any potential declines in our wind business. We have also been very focused on growing our thermal power revenues. Since quarter end, we have been awarded a significant pipeline terminal pumping station project that will begin in late 2012. Shifting to pipelines. Revenue was up 19% year-over-year and up 57% sequentially. Revenues are tracking ahead of expectations. And although we were previously expecting full year 2012 revenues to be flat with 2011, we are now expecting double-digit revenue growth in our pipeline markets. While margins as a whole were positive in our oil and gas pipeline projects, they were negatively impacted by our 2 troubled projects as previously mentioned. We are confident that the pipeline market affords us a great opportunity for future growth at attractive margin levels. Backlog has grown since quarter end, and there continues to be significant bidding activity. To recap. We're off to a good start of the year that could have been significantly better. Margins and margin improvement is our number one priority, and we expect solid progress in the second half of the year. We've got strong backlog to support what we believe will be another record year of revenue and earnings. We expect strong cash generation in 2012, and I continue to believe that we are in an excellent position to take advantage of the opportunities our different markets are affording us. I'd now like to turn the call over to our CFO, Bob Campbell. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover second quarter financial results, third quarter guidance and 2012 full year guidance. And I will also cover cash flow, liquidity and our capital structure. Here are MasTec's Q2 headlines. Second quarter revenue increased 38% over last year to a record $992 million, that's our highest revenue quarter ever. Second quarter organic or non-acquisition revenue growth was 32%. The revenue growth was broad-based, with significant growth in power generation and industrial, formerly referred to as renewables; electrical transmission; oil and gas pipeline and facilities; and install-to-the-home. Second quarter EBITDA was $81 million compared to adjusted EBITDA of $71 million last year. That's a 14% increase. Second quarter fully diluted earnings per share was $0.37 compared to adjusted earnings per share of $0.31 last year. That's a 19% increase. In June, we sold DirectStar, our DIRECTV retail marketing business, for $99 million in cash. As of July, we have repurchased $75 million of common stock this year and $150 million since September of 2011. Our liquidity at quarter end was $449 million compared to $188 million a year ago. We calculate liquidity as unrestricted cash plus availability from our bank credit facility. I'll cover accounts receivables and DSOs in detail later, but it is worth noting that we have had significant improvement in our AT&T receivables and company-wide in our unbilled receivables. We are raising our full year 2012 EPS guidance to $1.50. Now let me get into the details of our results. Q2 revenue was $992 million, up 38% versus last year. The growth was led by our power and industrial work, which more than tripled, and our electrical transmission work, which almost tripled. Most of the remaining markets were up double digits for the quarter except for wireless, which was down slightly versus last year. However, recent public comments by our largest customer indicate a 55% increase in second half wireless CapEx, which is consistent with our back-end loaded expectations from our Q1 call. Install-to-the-home, which is primarily DIRECTV, was up 20%. The growth primarily came from the new DIRECTV territory in the Northeast that we acquired last July in the Halsted acquisition. Wireline was up 16%, primarily due to ongoing broadband stimulus work. Oil and gas pipeline and facilities was up 19% year-over-year in Q2, with some of the growth coming from our Fabcor acquisition in Canada. Second quarter G&A expense, depreciation and amortization expense and interest expense as a percent of revenue all improved slightly versus last year. Second quarter cost of revenue, excluding depreciation and amortization, increased from 85.9% last year up to 87.9% this year. The biggest driver of the increase was the unanticipated higher cost of substantially completing the 2 troubled Marcellus projects. We booked job losses last year on these 2 projects, and this year we expected to book the remaining revenue without any margin. However, cost to complete on these projects were higher than expected, and we booked approximately $25 million of additional job losses in the second quarter. For the second quarter of 2012, the 10 largest customers were: AT&T, with 17% of total revenue and down 7% versus last year; DIRECTV was 14% of total revenue and up 19%; MidAmerican Energy was 9% of total revenue. Included in that number is our big electrical transmission project in Utah handled by EC Source and wind farm work handled by Wanzek Construction. Energy Transfer, a pipeline customer, was up -- was 6% of revenue; Duke Energy and Dominion Virginia Power were both 5% of revenue. Duke is a wind farm customer, and Dominion is a pipeline customer; Chesapeake and EQT, both pipeline customers, were both 4%; DCP Midstream, another pipeline customer, was 3% of revenue; and Exco, a wind farm customer, rounded out the list at 2%. Regarding diversification, our top 10 customers in Q2 include 1 telecom customer, 1 satellite television customer, 5 oil and gas customers, 2 wind farm customers and 1 combined electrical transmission and wind farm customer. Also, we continued to reduce our customer concentration. Note that we no longer have any 20% customers. At quarter end, our backlog was $3.1 billion, and that number now excludes DirectStar, which was sold. As always, I'm giving you an 18-month backlog number. The comparable number at year-end 2011 was $2.1 billion -- I'm sorry, 2010 was $2.1 billion and $3.1 billion at the end of 2011. Our backlog includes an estimate of the next 18 months of revenue from master service agreements and other similar contracts. Now let me talk about our cash flow, liquidity and our balance sheet. A quick summary of Q2 cash flow would be: We had good earnings. We sold DirectStar for $99 million in cash. We repurchased $35 million of stock in the quarter, and we had a large increase in accounts receivables related to $275 million of revenue growth. I've already talked about earnings in DirectStar, so now let's cover our stock repurchases. We repurchased $35 million of stock in Q2 and another $40 million in July to complete our $150 million stock repurchase plan that started in the fourth quarter. We have repurchased 9.47 million shares at an average purchase price of $15.84. Accounts receivable in total were up $232 million versus Q1, mostly driven by the 38% growth in revenue. Our accounts receivable day sales outstanding or DSOs were 80 days at quarter end, up slightly from the 78 days last quarter. Let me mention a few items regarding our receivables. First, I can say that we have finally turned the corner on our AT&T wireless receivables. We have improved our AT&T DSOs by over 50 days since year-end, including significant improvement in our unbilled receivables with them. Second, we have seen a significant improvement in the amount of unbilled receivables all around the company. Compared to the end of Q1, while total AR is up $232 million, the unbilled AR balances, despite the revenue growth, were down at the end of Q2. We currently expect to make additional progress with receivables over the rest of the year with the goal of getting DSOs back into the upper 70s. Regarding capital spending, we spent $14 million for Q2 compared to $17 million in Q2 last year. Our current forecast for 2012 CapEx is $65 million, down slightly from 2011. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end, we had $816 million in equity, $510 million of total debt, only $493 million in net debt, that's net of cash, and we expect to have $325 million of 2012 EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. I'd like to note 3 things about our capital structure. First, we have no significant debt maturities until '14, '16 and '17. And second, all of our debt has attractive interest rates and terms. And third, we have tremendous availability from our $600 million mostly unused bank credit facility. Availability from our bank credit facility at quarter-end was $432 million. As I mentioned, we are raising full year 2012 guidance. MasTec's 2012 guidance is revenue of $3.55 billion to $3.60 billion, EBITDA of $325 million and fully diluted earnings per share of $1.50. That's a 24% to 26% revenue growth, 25% EBITDA growth and 40% EPS growth. Consistent with our prior communications, the earnings growth rates reflect non-GAAP adjusting earnings for 2011, excluding the large EC Source remeasurement gain and the Teamster pension withdrawal liability charge. MasTec's third quarter 2012 guidance is revenue of $950 million to $1 billion, EBITDA of $100 million and fully diluted earnings per share of $0.52. That represents a 15% to 21% increase in revenue, a 25% increase in EBITDA and a 44% increase in fully diluted earnings per share compared to the third quarter of 2011. Reconciliations to GAAP numbers are in yesterday's press release and in the 10-Q. Our 2012 full year guidance assumes a tax rate of 39.8% and cash taxes of about 90% of booked taxes. Acquisition and amortization expense is estimated at about $11 million for 2012, down from $14 million last year. Our estimate for full year share count for fully diluted EPS is about 81.5 million shares. Remember that our share count, for EPS purposes, can fluctuate up and down with our stock price because of the accounting for our convertible notes. There's information about share count for EPS purposes in Footnote 2 in our 10-Q. Our guidance excludes both the positive or negative impact that we might have from litigation matters, including Sintel, which is disclosed in the 10-Q. Since we are in negotiations regarding Sintel, we cannot comment on that matter beyond the 10-Q disclosure. In summary, we currently expect 2012 to be another good year for MasTec, with record revenue, net income, EBITDA and EPS. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] We'll go first to Alex Rygiel from Friedman, Billings, Ramsey.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And it's too bad you sold DirectStar in the quarter because you could have been $1 billion quarterly company this quarter.
Jose Ramon Mas: That's right. It was close. Hopefully, next quarter, Alex.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Hopefully. The $25 million charge in the pipeline business, if we added that back to the second quarter, is it fair that we would be adding or adding back $0.18 to $0.20 in EPS and your EBITDA margins would have been real close to that 10% target you've been going after for a while now?
Jose Ramon Mas: Yes. So if you think about those specific jobs for the quarter, they generated about $80 million of revenue and about $25 million of losses -- just over $25 million losses.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Interesting. And then, can you give us -- a good 3-year backlog. Can you talk about some of the pluses and the minuses over the last 3 months in the quarter?
Jose Ramon Mas: Yes. We actually highlighted a couple of jobs on the call. So if you go back and we talk about a transmission job, we talk about a job in our industrial generation group on a pipeline terminal job. Those were all jobs that were awarded after quarter end. We're trying to highlight large jobs. We're trying to highlight jobs in the $100 million, close to $100 million or $100 million-plus range. We've had some good success on the renewables side of the business as well going into 2013 that we haven't actually signed yet. So there's been a lot of activity since quarter end. The fact that we were able to generate a record quarter and kind of hold backlog steady was -- we were impressed with, and we hope we can continue to do that and really build of the backlog as we get into our seasonally strongest part of the year.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And can you quantify the new awards after the quarter that were sizable that you called out that weren't included in the backlog figure?
Jose Ramon Mas: The ones that we specifically called out in the call were all awarded after quarter end.
Operator: We'll go next to William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Going back to this $25 million, is that the full extent? Or do we still have some lingering effects going into the third quarter here?
Jose Ramon Mas: The loss includes a provision going forward, so it wasn't all for activity that happened in the quarter. We -- every quarter, we actually go through the job and we try to estimate where we think we'll end the job. The good thing is the jobs are close to completion, so they're going to be done in the first half of the third quarter. We think we've got it all. Obviously, we felt the same way at the end of Q1 and a lot of bad things happened in the second quarter. Although that job -- those jobs, we were really kind of off those jobs in the first quarter, so by the time we got back on them, a lot hadn't happened in Q1. So I think we -- obviously, we're disappointed. They were tough jobs. We're frustrated. Our team out in the field is incredibly frustrated with the performance of that job, and we're all looking forward to getting them behind us and getting on better works. So we think that's going to happen here relatively shortly, and we think we've got it all behind us.
William D. Bremer - Maxim Group LLC, Research Division: I mean, considering -- you guys had a spectacular quarter, considering that headwind. A little more color on the oil and gas. Right now, I'm assuming what you have in backlog is strictly more gathering. I hear from channel checks that long haul, no real bidding yet but heavy discussions are taking place throughout the industry. Can you give us a little more color on the pipeline sector right now?
Jose Ramon Mas: At this time last year, we were all thinking about what was going to happen after Ruby. And there was a lot of concern as it related to MasTec relative to how are we going to make up the revenues associated with Ruby, and Ruby having been such a big part of our pipeline business. And we went into this year somewhat cautious saying that we expected the business to be flat, and that in and of itself would be a win, based on the fact that we'd have to recoup so much of the Ruby revenues, and we're sitting here today saying we expect double-digit growth for the year despite that. So the industry is doing -- that market is doing great. There's a lot of work out there. There's a lot of activity. We're having a great 2012 outside of those 2 projects that we're really struggling with, and we expect '13 and '14 to be even better. So that's a market that we are excited about, and we think it's going to be fantastic for the next few years.
William D. Bremer - Maxim Group LLC, Research Division: Currently, what capacity are you running at right now?
Jose Ramon Mas: Currently...
William D. Bremer - Maxim Group LLC, Research Division: In oil and gas?
Jose Ramon Mas: You've got -- again, you've got 2 pieces of the business, right? You've got the shale business and you got the long haul business, so there's not a lot of long-haul stuff going on, although there is a little bit. So from a personnel perspective, we are at high capacity. We're at high capacity across the board at this point in that business.
William D. Bremer - Maxim Group LLC, Research Division: Okay. And then final question is on transmission. Can you give us a sense -- you mentioned the award subsequent to the quarter. What type of kilovolt is that project?
Jose Ramon Mas: 345.
Operator: We'll go next to John Rogers from D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Jose, in terms of the problem projects, you mentioned other work in the pipeline was doing -- pipeline sector was doing fine. But I'm just wondering are the other projects outside of the Marcellus. Or is this a problem with working in that region?
Jose Ramon Mas: We have projects both within the Marcellus and outside of the Marcellus. So when we look back to last year, I think we identified fairly early on that these projects were going to be a problem, both of these, and we've kind of being living with that now for almost a year. And I know everybody's probably tired of hearing it, and we're tired of talking about it. Outside of that, the other projects in Marcellus have done very well for us. Marcellus has been a region for us where we have performed well over time. We've got a lot of successful projects that we've completed and a lot of successful projects that we're working on now. So it has nothing to do with the region, it has to do with these particular jobs and our execution and a lot of issues. I think we've talked a lot about it in the past. But these projects started off poorly for us. We were pushed -- they were delayed at first, which pushed us into a different construction season than we had anticipated for the job, and it kind of all went downhill from there. But outside of those projects, the Marcellus region has been a fantastic region for our company. We plan to continue to work there for a long time. So it's not region-specific, it's job-specific.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And then just a follow-up, I guess, for Bob maybe. Do you expect cash collections, given your mix of business now and the larger construction projects, to pick up substantially at the -- I guess, in the fourth quarter, as all these -- as a lot of the seasonal work has completed?
C. Robert Campbell: That's what we currently expect, John. We normally have a big second quarter ramp in growth, and until we get the bills out and can collect this ramp-up -- and frankly, this quarter we had a bigger ramp than normal. And some of that ramp will continue into the third quarter. And then, we tend to get our best collections by the middle of the third quarter and then in the fourth quarter.
John Rogers - D.A. Davidson & Co., Research Division: So reasonable DSOs at year-end would be what?
C. Robert Campbell: What I said was upper 70s. We don't think of an 80-day DSO as being particularly acceptable. That's where we were at the end of the quarter. Some of that did relate to this huge ramp in revenue. But I see us being in the upper 70s. That's my current expectation, and that's actually what I said.
Operator: We'll go next to Andy Kaplowitz from Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, just back to the transmission project for one second. This project looks like it might be -- I think you said 120 miles, right? PacifiCorp is 100 miles. So can we assume a sort of a similar sized to the PacifiCorp job? We know what that size is. And then do you see any more than this job? I know I'm being greedy now, but why not?
Jose Ramon Mas: It's not of the same size, so it's a little bit different. It's obviously a sizable project for us, which is why we're disclosing it. We've been talking for quarters about our activity in the transmission space. We don't expect this to be the only win that we have, which is obviously a good win, and we're participating in a lot of projects. And we think we've got a shot, so hopefully, there's more to come.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. And Bob, I just want to ask you the receivables question in a different way. Last quarter, you had talked about -- you had expected improvement in 2Q. And I know you had a bigger growth in revenue, and that was probably some of the issue here. Are there any customers where DSOs are moving the wrong way? Or is there -- are there any actions that you can take to really impact DSOs besides just sort of waiting for some of these guys to pay you?
C. Robert Campbell: Yes. Yes, we can take actions. But frankly, they are the -- in a way, the normal actions that we do take. Sometimes it's mix. Again, we had the big growth in revenue. I was especially encouraged with all the growth, as I mentioned, that the unbilled portion actually went down from Q1. And that's the first step. If you can get it out of unbilled into billed, we generally get paid reasonably promptly. So it's more driven by billing milestones or construction milestones that allow us to bill. And I think we're doing a pretty good job today of then promptly getting the bills out, then we generally get paid per terms.
Andy Kaplowitz - Barclays Capital, Research Division: Just are these wind customers good payers generally? Is there anybody else? Like is your mix changing at all that's hurting DSOs? Or is it just kind of steady as you go?
C. Robert Campbell: No, it was more of the revenue growth. Yes, I don't know that I'd characterized there's a whole lot big difference in mix. We do somewhat better in install-to-the-home. We've talked about that, and we do somewhat worse in the telecom world. And everything else, you could sort of characterize it's sort of in the middle.
Operator: We'll go next to Peter Chang from Credit Suisse.
Peter Chang - Crédit Suisse AG, Research Division: My first question, I -- on the EBITDA margin guide for the back half of the year, it looks like you had decreased that maybe 50 to 100 basis points. I understand wind is a large part and that's lower margin, and you had mentioned some provisions for the pipeline or that the pipelines -- those projects are moving to Q3. What is the cause though for the decrease in the overall margins? Is it just that simple, that's wind, and maybe you guys are being a little conservative on the remainder of the pipeline business or that project?
Jose Ramon Mas: Two things. When you look at the first half of the year, obviously, our revenues have far exceeded where we expect it to be, and yet EBITDA has kind of been in line where we had originally guided. So there, you just have lower margins. Some of that has to do, obviously, with the 2 pipeline projects that we've talked about. When you look at the back half of the year and you kind of back into where guidance had been, it really hasn't changed drastically. It's almost where our guidance was at the end of last quarter. It's a little bit higher in revenue for the back end of the year, probably another $100 million or so. And we've decided to keep margins or EBITDA flat with where we had kind of originally looked at it from our original guidance. So there's a little bit of margin deterioration in the back end, back half of the year, and a lot of that has to do with the fact that we haven't really hit it, right? I mean, we've kept putting EBITDA guidance out there that we've missed for whatever reason, and we feel very comfortable we can hit it. And we want to put numbers out there that we feel comfortable we can hit, and as we do that, our long-term goal hasn't changed. We continue to believe that we can get to double-digit EBITDA margins, and we're going to continue to work at that. And hopefully, we get there in 2013.
Peter Chang - Crédit Suisse AG, Research Division: Okay. That's helpful. And then just to build on John and Andy's question on the cash flow, but I guess, just to be very explicit with it. If you were to provide free cash flow guidance for the year, what would that be?
C. Robert Campbell: Well, then we'd be providing free cash flow guidance.
Peter Chang - Crédit Suisse AG, Research Division: Would you feel comfortable doing that, Bob?
C. Robert Campbell: We haven't been ready to. It's obviously been a little volatile for us if you look at the last 2 or 3 quarters. I'll certainly consider doing that, but we're not going to do that today.
Peter Chang - Crédit Suisse AG, Research Division: That's fine. I thought I would try.
Jose Ramon Mas: If you think about our company revenues, we're guiding a 4% to 7% increase in the second half of the year versus the first half of the year. That's probably the lowest increase that we've had in the last couple of years. If you think about in 2010, we were up 44%, second half of the year versus first half. In 2011, it was 21%. So the fact that we think revenues are going to be more constant should bode really well for cash flow second half of the year, as a lot of that revenue ramp happened from Q1 to Q2.
Operator: We'll go next to Adam Thalhimer from BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I wasn't going to ask this, but Jose, you mentioned -- I mean why would revenue not be up more in the back half versus the first half?
Jose Ramon Mas: Well, I think, first, renewables is a big part of our year, and I think renewables is pretty much set for the year. I think we've excellent visibility into the full year plan. So I think the chances of that dramatically increasing are slimmer. The revenue numbers are a lot bigger now than they've historically been, so changes in revenue aren't as dramatic, which we think is good because we show -- we think it shows stability at our overall business and less volatility as time goes on. We're taking somewhat conservative views going forward in terms of what we have in backlog and really not making a lot of assumptions relative to what we might win and book and burn in the second half. So I think those are the reasons.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. How many natural gas spreads do you guys -- construction spreads do you guys have now? And can you talk a little bit about profitability of your nat gas backlog once these projects -- problem projects roll off?
Jose Ramon Mas: We've never looked at our business from a spread perspective. I think spreads are a lot about long haul. I don't think spreads play a very active definition in what you'd call shale. So for us, shales have been a bigger part of our business for a long time. We haven't really gone out with number of spreads. We obviously have some, and we do measure it, but I don't think it's -- I don't think it would give you anything worthwhile for you to understand our business any better. We've said our oil and gas projects, pipeline projects were profitable for the quarter despite that loss provision, so I think we're doing really well across the rest of our projects. And obviously, as those burn off and we're off to better work that -- where we can generate margins, the profitability of that business is going to drastically change.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And then lastly on transmission. The job in Texas, is that something that EC Source will do? Or do you see that as a kind of legacy MasTec job? And then can you talk a little bit about what kind of capacity you would have to take on additional jobs past the Texas job?
Jose Ramon Mas: So we evaluate all of the jobs and really the resources that we have in place. So as we look at it, obviously, we have different entities that work. But we try to maximize our ability to generate profits on a job, and thus we'll decide who does the job based on that. We've obviously shown a lot of growth in that transmission space over the course of the last year. We want to continue to grow the business. We think we've got capacity to continue to grow. So again, it's -- we're hopeful that we'll win a lot more jobs as time go on and that business will get a lot bigger for us.
Operator: We'll go next to Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Two questions. The first one is, I think, it's been asked earlier on in other ways. Your implied fourth quarter revenue guidance shows a pretty big dip down. Is that seasonality to some extent? Or is it largely conservatism or cautiousness as you see it right now?
Jose Ramon Mas: I'd say it's seasonality. We're working on a lot of bigger projects towards the end of the year. Some of those projects will be coming off. We've obviously got the holidays and stuff in the fourth quarter, so I'd say it's more seasonality.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And then the second question is, Jose, you've obviously been pretty bullish on your opportunities. Backlog is up 9% year-on-year. As you look out past 2012, and I know it's very early, but qualitatively speaking, do you see opportunities to grow your revenue base, even though you might have difficult comps on the wind side to some degree, et cetera?
Jose Ramon Mas: Well, we're not ready to give revenue guidance for 2013 for sure. I think we have been planning for a long time to be in a position whereas if wind revenues would decrease, and we're obviously having a great year in wind, that we'd be in a position to make that up. So I think we've said all along that we expect to be able to grow in '13 versus '12. I don't think we'll grow at the levels we're currently growing off of '11 because we'll have some tough comps relative to wind. And with that said, who knows, right? But wireless, pipeline, transmission, we've got a lot of good businesses in our portfolio that could have a great year. And we'll see and as the year plays out here and we have better visibility, especially on our generation business into '13, we'll be able to better comment on that.
Operator: We'll go next to Liam Burke from Janney Montgomery Scott LLC.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Jose, the first -- in the second quarter, you have obviously $25 million write-down on the projects. You also had a fair amount of materials purchased in that gross margin numbers, so that held it back, too. So we're looking at the second half of the year where you get that immediate lift. What are the possible headwinds that you see in the second half of the year that could slow your margin growth?
Jose Ramon Mas: When we look at materials, I don't think materials are going to change much. We're obviously doing some larger projects where we're providing some materials, so I think that's going to be a constant as the year goes on. I don't think that was a -- I know the numbers went up. I don't think that really changes our look going forward because we've estimated that into our jobs. It's about execution. There's nothing today that we know that could be a headwind. At the end of the day, we've got to execute on projects. We had an issue with these 2 jobs. We've got to make sure that we get better at bidding and on executing on projects so we're not sitting in the same position, but we've learned a lot from it. We've taken a lot of steps internally as to how we look at our business, and bids and projects and how close we're monitoring those and how quickly we're in front of our customers talking about issues. So at this point, we really don't expect any.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Okay. And Bob, on the accounts receivable, we can beat this one to death. But last year, you had a run-up in receivables at year-end. You now have DSOs at 80 days. What's different at the end of this year that you won't have at the end of last year?
C. Robert Campbell: Well, at the end of last year, we were quite public about it. After we had that really big spike in AT&T wireless revenue, we publicly talked about getting behind and closing out projects and getting them billed and what that did to our DSOs. And we're not going to have that in the second half. We really have turned the corner on that. And I think I mentioned DSOs in that market for us are down -- have improved 50 days since year-end, so we really have turned the corner. And so as I've said, DSOs, which were 80 days at quarter-end, should come down modestly, and maybe that's my just being cautious. But all I'm willing to do now is say, it will definitely improve, and that's why I'm saying upper 70s.
Operator: We'll go next to Noelle Dilts from Stifel, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First of all, just another quick question on the pipeline projects. Could you give us an estimate of how much revenue you expect to book in the third quarter related to those projects?
Jose Ramon Mas: To the 2 troubled projects?
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: The 2 troubled projects, yes.
Jose Ramon Mas: In the $20 million range.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then just switching gears a little bit. Could you just go into a little bit more detail on your wireless business? Is the type of work you're doing right now primarily 3G? Are you starting to see a real pickup in 4G yet? Last quarter, you talked about expecting kind of a little bit less than 10% growth. It looks like, based on your commentary about CapEx increasing in the back half, it could be a little higher than that. But just give us an update there.
Jose Ramon Mas: I guess across the whole industry, there's been a huge shift into what I'll call LTE or Long Term Evolution, which is really 4G. We're seeing big increases relative to that. It's become a much greater piece of our workload, and we continue to believe that it will grow as a piece of our workload going forward. So that's going to be what drives the business for the next 3 to 5 years. As it relates to 2012 specifically, it's a strange year in that we had all the issues last year with T-Mobile and AT&T and that not going through and how that affected the budget cycle for 2012. We're expecting growth in the second half of the year in that business. Obviously, we grew sequentially 23% from the first to second quarter. We're expecting double-digit growth in the back half of the year versus the first half of the year. So I think it's going to be a good year. I don't know that we've really changed our outlook for the year at this point in terms of what we think that business will do. So we're kind of planning to the work that -- the work plan that we've had all year. It could get better, but we're not currently counting on that.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And do you have any updated thoughts on the backup generation contract?
Jose Ramon Mas: There's no new updates on that.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then can you give us the organic growth at install-to-the-home, excluding Halsted?
Jose Ramon Mas: 6% for the first 6 months, flat for Q2 versus Q2 year-over-year.
Operator: We'll take our last question from William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Just one follow-up -- actually, 2 follow-ups. Bob, in terms of CapEx, can you sort of break that down a little bit in terms of end markets? And then finally, what is your, say, 2013 target on DSOs?
C. Robert Campbell: Okay. On the CapEx, I'll say this. Last year was a little higher, and it had something of a concentration in pipeline CapEx. This year, it's a slightly smaller number. I think we were $72 million last year. This -- our guidance right now is $65 million. And I think it's pretty broad based without any real spikes in one group versus another. There's nothing -- a lot of it is -- some of it's replacement and some of it's expansion. But there's no -- there's not the same -- if you remember, we ramped last year from $30-some million up to $70 million, and a lot of that was pipeline or the biggest spike in it. This year, there's really no big spike anywhere.
William D. Bremer - Maxim Group LLC, Research Division: Do you need to increase CapEx specifically for transmission, large-scale transmission at this point?
Jose Ramon Mas: Not at this point, but we will over time. We expect to over time.
William D. Bremer - Maxim Group LLC, Research Division: And then Bob, the DSO question, where is your long-term target?
C. Robert Campbell: It is changed with mix, Bill. If you go back a few years, bluntly, we had to go public goal of 60. We struggled to hit it, but we've finally had a couple of quarters when we hit it. And the mix, again, with communications being generally our highest DSOs is that's grown and that's hurt DSOs. And install-to-the-home was our best, but it continues to shrink in the mix. So then what you have is a lot of construction projects. And I think we publicly talked -- we got some help for some -- really, some almost advanced billings on some large projects that we're currently not having. We're always asking for them or striving to get them. So in a way, I haven't answered your question about '13. If I had to say something today, it would be something in the 70s. But to be honest, while we're going to strive for it, I'm not rushing to say 70 or low-70s based on our current mix.
Operator: At this time, we have no further questions.
Jose Ramon Mas: All right. I'd like to thank you for your interest and participation on today's call, and I look forward to updating you on our third quarter call. So thank you.
Operator: That does conclude today's conference. We thank you for your participation.